Operator: Good day, and thank you for standing by. Welcome to the Mips Interim Report Third Quarter 2025 Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker today, Max Strandwitz. Please go ahead.
Max Strandwitz: Thank you, operator. Good morning, everyone. My name is Max Strandwitz. I am the CEO of Mips. And with me today, I also have Karin Rosenthal, who is the CFO of Mips, and we will take you through the presentation of the Q3 2025 interim report. And if we start with key highlights. It was good development with 19% organic growth in the third quarter. Good to see that we did deliver growth in all the categories we are in despite the challenging conditions, year-to-date organic growth now at 22%. We did see very strong development in Europe with 73% growth, and this was the fourth consecutive quarter where we actually managed to deliver more than 50% growth in Europe. And of course, it's also great to see that we are delivering on our ambition but also that the proportion of sales getting higher from Europe and, of course, contributing to the whole growth agenda at Mips. U.S. market was a bit more challenging, but we actually managed to deliver a small organic growth also on that market and continue to gain market share. The profitability also continue in the right direction. So we had a good underlying improvement in profitability. The decrease in EBIT that you saw in the quarter is fully explained by legal costs and ForEx headwinds. And actually, if we adjust for the legal costs in the quarter, we managed to deliver 42% EBIT margin. So clearly in line with our ambition to get back to the 50% EBIT margin, which is also our long-term target. We have managed the erratic and uncertain communication around tariffs well, but we expect that there will continue to be some uncertainty for some time going forward. And we remain confident in our long-term strategy and our financial targets. So if we start with a very short update on tariffs. The implementation of tariffs have brought uncertainty to the short-term outlook in all our three categories in the U.S. market. Price increases from helmet brands to mitigate the cost increases have started to have an effect on the U.S. market, and we see that they are effective from Q3 onwards. We have also seen that helmet brands have started to relocate production outside of China to derisk potential impact of further tariffs. And of course, the main go-to country is Vietnam, but we also see factories opening up in other places in Asia to decrease the overall exposure from the China situation. And then, of course, we also expect that the uncertainty of tariffs is expected to continue also going forward. If we look at Sports. We are happy to see that the progress continues. We had a good quarter with 8% net sales in Sports. Very strong growth in the European market. And here, we've actually managed to deliver 98% growth, which is of course a fantastic number. U.S. and Asia challenged by macro and geopolitical situation, so a little bit softer performance there, but still managed to gain market share. And it's good to see also that we managed to deliver volume growth in bike for the eighth consecutive quarter in a row. Snow was slightly down in the quarter, more relating to phasing. If we look at the year-to-date performance, we still show strong growth in snow, which is good to see. And we remain positive on the outlook in the Sports category. If we then look in Moto. Moto had a little bit soft quarter in last Q2 and, of course, with the impact coming from tariffs. And of course, we have quite a heavy exposure to the U.S. market, so it was good to see that the performance bounced back and that we managed to deliver 28% net sales growth in the quarter. And we did see good development in both the off and on-road subcategory. Also during the quarter, we launched our new event concept at the MXGP competition in Lommel, Belgium to further increase our activation towards end consumers and, of course, in our brand story and also making sure that we bring the awareness up. We have started with a lot more to consumer marketing. We did invest in a trailer. And of course, we will be very active with that coming year to make sure that we also bring the end consumer awareness up. And this was clearly a good test and shows that it's of course in the right direction and what we want to do on the market. No change to the long-term outlook. Good opportunity to continue to grow in Moto. In Safety, we saw a little bit more moderate performance with 26% growth in the quarter. Moderate sales in the quarter was driven by uncertainty from the implementation of tariffs and cost increases with some delays in ordering. If we look at the underlying in-market performance with new brands and new products, we actually see good performance. It's important to realize that about 90% of our sales in Safety goes to the U.S. market and, therefore, of course, the tariffs and the cost impact is significant. It was good to see in NSC safety show that we actually got listed for four helmets to the Best in Show, and actually one of the helmet managed to get awarded Best in Show. And that clearly demonstrates how strong the product portfolio that we have coming in safety. And of course, disappointing to see the performance in the quarter, but we have a long-term ambition that remains unchanged. And the soft sales that we saw in the quarter, we expect that to be temporary. So if we then summarize the development in the different categories. We start with Sports. Good performance despite a very challenging environment, really happy to see the 98% growth that we had in Sports. Moto, good to see that we bounced back in the way we did with good performance in both off and on-road. And of course, Safety, disappointing but, of course, more to come. And with that, I hand over to Karin.
Karin Rosenthal: Good morning. I'm Karin Rosenthal. I'm CFO of Mips, and I will take you through the financial part of the presentation. We saw good development in the third quarter with an increase in the net sales of 10%. And adjusting for FX due to a weaker U.S. dollar versus SEK, net sales increased 19% organically. Gross profit increased with 11% and we saw a strong gross margin of 74.2% versus 73.4% last year. And the increase is mainly explained by the sales mix. We had a good underlying improvement in our profitability year-over-year. EBIT was down 7% to SEK 44 million, fully explained by legal costs and ForEx. And the EBIT margin decreased by 6 percentage points to 32.6% versus 38.5% last year. And excluding the legal costs, EBIT margin was 42.1%. In OpEx, the higher spend was fully explained by the legal costs of SEK 13 million in the quarter, and we continue to invest in our strategic priorities. We had a good operating cash flow of SEK 41 million in the quarter. And looking at the financial KPIs: 19% organic growth, 33% EBIT margin and SEK 41 million in operating cash flow. If we then look at the development for the first 9 months. Net sales increased with 14% and, adjusting for FX due to a strong SEK versus U.S. dollar, net sales increased 22% organically. Gross profit increased with 16% and we had a gross margin of 73.6% versus 72.3% last year. And the increase is mainly explained by sales mix. And we have underlying improvement in the profitability. EBIT was down 4% to SEK 109 million, and that's fully explained by the legal costs and the ForEx. EBIT margin decreased 5.1 percentage points to 28.2% versus 33.3%. And excluding legal costs, EBIT margin for the first 9 months amounted to 37.5%. In OpEx, the higher spend was fully explained by legal costs of SEK 36 million, and we continue to invest in strategic priorities, marketing and R&D. We had a really strong operating cash flow of SEK 96 million. Financial KPIs: 22% organic growth, EBIT margin of 28% and SEK 96 million in operating cash flow. If we then look at the balance sheet and cash flow. We have a strong cash position with cash and cash equivalents of SEK 280 million. And just to remind you that Mips don't hold any loans. We paid out dividend of SEK 172 million in May, corresponding to SEK 6.5 per share. And operating cash flow in the quarter was SEK 41 million, and we had the equity ratio of 86%. And then I hand back to you, Max.
Max Strandwitz: Yes. Thank you, Karin. So if we then summarize the quarter. Good development in the quarter with growth in all the three categories despite the challenging conditions. Really happy with the performance in Europe and that Europe is really starting to take off. We do expect the positive progress to continue with less hampering effects from tariffs, of course. We did see good underlying improvement in profitability. The decrease that we saw was fully explained by legal costs and ForEx headwind which is, of course, quite heavy at the moment. If we adjust for legal costs, 42% EBIT in the quarter. If we look at the last rolling 12 months, we are at 39%. So of course, we see a good recovery of profitability and we remain positive on our long-term outlook and the delivery of our financial targets. And with that, we open up for questions.
Operator: [Operator Instructions] And now we're going to take our first question, and it comes from the line of Adela Dashian from Jefferies.
Adela Dashian: A couple of questions from me. Firstly, on the commentary around the exposure to the U.S. in the Safety category and the tariff headwinds that's impacting progress there. At this point, I mean, how fast should are you expecting a stronger volume ramp-up in the Safety category? Are you still tracking the doubling every 6 to 12 months? Or are you seeing any reason to, I guess, revise that guidance given the near-term headwinds?
Max Strandwitz: Yes. I think it's important to differentiate with two things: one is our underlying performance in the Safety category, what we're doing and the progress that we are making; and then, of course, recognizing that tariffs has an impact. Helmet is normally not the biggest part of the safety companies that we are working with. Sometimes they get back in the queue because, of course, they are a smaller proportion of their total sales. And then, of course, if you add Mips to that, sometimes you get down prioritized. That's a reality we need to live with. We expect that to be temporary. And like you see also in NSC, we had four new helmets that was awarded or listed for Best in Show. So we have a great product portfolio. So the things that we have under our control does not change by 1 or 2 quarters. But of course, you also have to recognize reality. The last 2 quarters has not been at the momentum we expect. We do believe that we are going back to the momentum of doubling our sales every 6 to 12 months and we expect that to happen within 1 to 2 quarters, so clearly going and starting to accelerate the sales. When we started the year, we didn't plan to have the impact of the tariffs that we are seeing. So I would say, yes, it's temporary. And no change to our long-term ambition and our projection of the Safety category, but clearly, the last 2 quarters has been a bump on the road.
Adela Dashian: I see. And maybe going into the fourth quarter, which is an important bike helmet production quarter for you or your customers. What kind of, I guess, early indications do you have of a more normalized quarter given all the external factors that's impacting the entire value chain?
Max Strandwitz: Yes. I mean, there is a lot of external factors. Of course, we had that in Q3 also. We said that we expected Q3 to be progress against Q2 because, of course, we said that we start to see a more normalizing effect. We also already then said that we expect Q4 to be progress against Q3. And of course, that's what we are seeing. We are also seeing that, of course, Europe is doing really, really well. It's also great to see that our proportion of total sales going to Europe has increased quite a lot. And of course, if you have 4 consecutive quarters in a row with more than 50% growth, then it becomes a more material impact. And also if you look at the last quarter and also this year, we're starting to get -- Europe starts to get a lot more important with actually now hitting 40% of the total sales of Mips. So of course, with that part growing, it also has a more material impact on the total growth. The U.S. market, a little bit soft. And of course, we hope that, that will recover. But also that, of course, during the whole tariff situation that we have experienced during the last 2 quarters, no one bought more than they exactly needed. Now we are going into next season and, of course, everyone needs to start building stock for that. Then Asia, even though it's not a huge proportion of our sales, there, we see a very soft consumer and especially relating to the China market. So the key driver of the growth that you will see in Q4 and we expect progress against Q3 is really coming from the really strong performance that we are seeing in Europe. We don't expect a lot of help from the other markets.
Adela Dashian: Got it. And could you please confirm, to your knowledge, what the inventory levels at the retail channels look like at the moment in the three regions?
Max Strandwitz: I can say that when it comes to U.S., normally they have been running their business normally on somewhere around 2 months inventory. At the moment, we believe it's lower but it's difficult to get exact numbers at the moment. We're adjusting between two data sets between the Q2 market data and the Q3 market data that will be delivered in about a week. But from what we heard from the last data, they are rather on the low side rather than on the high side in the U.S. Europe is very depending on the countries. Germany and France has been doing quite well. Nordics, still a very hesitant buyer. And then, of course, when it comes to South of Europe, our proportion is not exactly that big but it's also not that much data available. So I would say the powerhouse of Europe at the moment is really the sales that we see in Germany and also partly in France. Asia, there, it's very mixed performance when it comes to China. China, we have seen extremely positive development in the last year. A little bit of a break during this year because, of course, we also see that the consumer is a little bit more hesitant. But at the same time, we are seeing that the acceptance on the Chinese market of Mips product is a lot higher than we expected. The addressable market is a lot higher than we expected. And of course, we are making a plan to make sure that we address that in an appropriate way. So a little bit mixed performance, mixed inventory levels on the different markets.
Adela Dashian: Got it. And then lastly, if I may, on the legal costs -- and maybe also if you have any update to share about the actual dispute, like any details on that you haven't shared previously. And then just on the legal costs, they were basically in line with expectations in Q3. And I believe you've earlier guided for a similar development in the fourth quarter as well. How do you perceive this going into 2026?
Max Strandwitz: Yes. So like we said before, no update on the legal dispute as such, still very much in preparatory phase. And that's why we already now could say that we would have a similar type of cost in Q4. Then, of course, we are going into much more of a court scheduling procedure. So in at least the first part of '26, we expect the cost to go down because then, of course, you will not have the same level of preparation if not something changes dramatically or you go for a different direction. But at least as we know now, during court scheduling and so on, there will not be a lot of cost incurred because the preparation has been done and of course you are waiting for the next steps in the process as such. So for Q4, expect similar kind of spending that we see now. And then, of course, as you go into 2026, you can expect the cost to go down.
Adela Dashian: And just to be clear, the Mips technology is still not named in this dispute.
Max Strandwitz: Yes. So Mips technology is not named in the dispute. It's not part of the dispute. And Mips as a company is also not part of the dispute.
Operator: And the question comes from the line of Daniel Thorsson from ABG Sundal Collier.
Daniel Thorsson: Yes. A couple of my questions already covered here. But I have a question, if it makes you worried when you see the current declining sales from the likes of Giant and Merida in Taiwan but also forecast downgrades from Shimano on the full year, that there is an upcoming potential weakness in the market that may hit you at some point in time? Or do you feel comfortable that you are entirely different from these players?
Max Strandwitz: That's a good question. I think, I mean, I am constantly nervous of the market development and what's happening, of course. But it's also my role to make sure that we navigate in the best possible way. So I think with bad opportunities also comes good business, I think. So of course, we have a balance sheet we can afford to invest, we can afford to accelerate in other areas, and that's what we are doing. I see the Giant performance, of course, with drops in sales of negative 20% to 30%. I saw the revision of Shimano, which is, of course, also worrying and so on. So I think when it comes to bike sales, especially relating to the U.S. market, we don't expect that to be very strong, at least for the coming 1 to 2 years. There is still an opportunity to sell helmets, of course. And then, of course, we also need to find great solutions like aftermarket products or other ways to drive mix, and that's what we have managed successfully so far. We have not really had the market with us in the last 2 years but still managed to grow anyway. I believe we can continue to do that successfully. Then in Europe, it's a little bit of a different story because the European market has not been growing for the last, I would say, 3 to 4 years. We have still managed to grow in that market. The reason why we are growing with exceptional numbers at the moment is that we increased the proportion of Mips of the total sales in Europe. So it's more coming from penetration rather than positive market development. I think everyone is now waiting for the consumer in Europe to wake up. If it wakes up, really, really great. We saw also the guidance of BIKE24, where they are also doing really well on the market and especially in Germany. So I think Europe is much more a penetration story, and that's really what drives us. And then when it comes to the whole Asia situation, we, of course, see a weak consumer in -- or I would say, a more hesitant consumer in Asia, especially relating to China with the whole situation on property prices, really making sure that they have a lot of cash on hand. Of course, the government in China is putting a lot of consumer incentives in place to make sure that the spending goes up. We also see that bike sales in China is going up. So I'm not that worried about that market and actually expect that to turn around. So I would really say that are we worried about the bike sales? Yes, in U.S., it's still very, very soft. In Europe, you see a fantastic development in e-bike sales, and that's really what maintaining and really driving the sales of the European market. And with e-bike, you normally have a higher proportion of sales with the helmet and the e-bike than you do with the traditional bikes. So you also see that a lot of the riders, they tend to wear a helmet when they ride an e-bike because they get access to a different velocity rather than when they are jumping on a normal bike just going to the grocery shop to buy some milk and so on. So there is positives and negatives. But that's my role, to make sure that we navigate in that area in the best possible way. Sorry for a long answer.
Daniel Thorsson: No problem. Just a final one on Safety then. We heard your answers here on ramp-up, but most of the sales are in the U.S. today and affected by tariffs, obviously, this year. But I see more and more design wins in Europe and products coming out in the market late '25, like the new Guardio helmet, for example, when we look at channel checks. Do you see U.S. or Europe being the main driver for Safety sales in '26 for you?
Max Strandwitz: No, I still think that Europe will be the second market for us. U.S. is a perfect market. You have a price point. You have a customer that's really up for making sure that they want to have a better offering. The European construction market is still, I wouldn't say under recession but probably that's the right word. It's very compressed at the moment. So you don't see the spending going up that shortly. We have still managed to grow really, really nice, especially with Guardio in Europe. I think they are doing a fantastic job. In Sweden, we see great performance from them, Norway, Finland. And of course, we see that they are accelerating their sales also elsewhere. So that helps a lot. And then, of course, we have uvex and some other product wins. And of course, there will be more. In November, you will also have A+A, which is the biggest construction fair in the world. That's only every second year. And there, of course, you will see more design wins with Mips. So I'm not that worried about Europe but I think it will take longer. The powerhouse of our growth will really be the U.S. market, at least for 2026.
Operator: And the question comes from line of Emanuel Jansson from Danske Bank.
Emanuel Jansson: Jumping back to the U.S. market here in the near term. I mean, we have seen organic growth here for the last couple of 2 quarters around 0 to slightly positive. Should we anticipate a similar trend in the near term? Or should we expect maybe a potential slight acceleration in sales in the U.S.?
Max Strandwitz: No, I think, I mean, we have managed to deliver organic growth in the U.S. market the last quarter, even though the market has been down. If we look at the last reported quarter numbers from the market, so not Mips sales but the market data, you saw that our addressable market was down with around 7%, which, of course, if we manage to deliver organic growth on that market, I am happy. So for the time being, as long as we stay on organic growth in the U.S. market, I'm happy. And that, of course, means that we continue to gain a lot of market share if the market is shrinking and we are delivering organic growth. And it's also important, we have not increased prices. So our organic growth is through volume growth, which is, of course, different from what some others are reporting. So for us, we are really happy if we can deliver organic volume growth on the U.S. market in the coming quarters.
Emanuel Jansson: Okay. That's great to hear. And as well, what factors should we primarily expect to drive mix growth within the bike segments in the U.S. during 2026 then? Is it primarily gained market shares? Or...
Max Strandwitz: Yes. I think everyone is hoping the market to turn around. And I also hope, but hope it doesn't bring me anywhere. So I think probably there could be flat to a little bit positive market in the U.S. next year. We will continue to gain market share, of course, which is good. So of course, if you do the calculation, you will realize that a little bit on the positive for Mips on the U.S. market next year.
Emanuel Jansson: Yes. Okay. That's great. And jumping to the European markets, which, of course, impressive growth in this quarter. And also here, looking in the near term -- looking at Q4 last year, Europe grew pretty well, if I remember correctly. Is it fair to assume similar growth trends in the near term as we saw in Q3?
Max Strandwitz: Yes. Normally we don't guide, of course, on individual regions and growth and so on but, of course, we have had 4 quarters with exceptional growth, more than 50%. So we hope to stay with that momentum. You will probably have quarters that will be higher or quarters that will be a little bit lower. But over time, to deliver on our ambition, that's what we need to do and that's what we are set up to do. And we also have, of course, a couple of initiatives that we have installed to really make sure that we deliver on that ambition. In Germany, we have a massive program to make sure that we increase awareness in Germany. Today, we have only 17% awareness of the non-Mips customers, so the consumers in Germany. We want to drive that to 30%, of course. And we have a massive program to do that. When we get to 30%, then, of course, we go to France, do the same journey again. So really having a big support program and that, of course, is what's also driving the growth in Europe. And that's also -- why is this happening now? And of course, we have had a European program for some time. We were hampered a bit a couple of years ago with the whole inventory situation. When that normalized, of course, a lot of that work that we have done, we benefited a lot. So when all the retailers and customers are buying new helmets, the proportion of Mips is a lot higher than they were pre-pandemic and also during the pandemic situation. So the work there really starts to pay off.
Emanuel Jansson: Okay. That's great to hear as well. And I assume then, in general, in feedback, what you're receiving from your customers' customers, so the manufacturers, are they anticipating growth for the 2026 bike season? Or is that a big variation between U.S. market then and Europe?
Max Strandwitz: Yes. I would say, in general, yes, every bike helmet manufacturer expect growth, and that's really positive to hear. But you also have or need to be a bit realistic. I don't think everyone will grow. But I would expect, if you take the global position, I think the overall helmet market sales will increase a little bit during the year. And I think that's the assumption from everyone. But that doesn't mean that every helmet brand will grow. We see especially Asia will probably grow quite decently. You see that the awareness about safety is increasing, but also a lot of helmet regulation is pushing helmet wearing and so on. Europe, you also see a positive trend there. And there, we also actually believe that with the lower interest rate, lower energy costs and so on, that the consumer is coming back in a different way than we assume on the U.S. market. So that helps a lot.
Emanuel Jansson: Great. And maybe a last question from my side. Regarding the improved gross margin, can you maybe provide more information on the positive mix effect here? What was driving the gross margin?
Max Strandwitz: Yes. So I mean, normally when the U.S. dollar rate goes down as it has done, of course, we are happy to really defend the margin. But of course, we are growing in volumes. So you get some volume benefits but also some mix benefits. We have put a lot of money into driving innovation, making sure that we have more premium solutions and so on. And that, of course, starts to pay off, which we are happy to see.
Operator: Thank you. There are no further audio questions. Now we will proceed with any written questions. Max, over to you.
Max Strandwitz: Yes. So during the quarter, there was a test published by Virginia Tech, which was a safety helmet test. And there is some questions about rotation in that test. So there was a test method published by Virginia Tech in the quarter, which we are very happy to see. We really promote that there should be independent element testing on the market that helps everyone to have independent testing and to, of course, guiding their buying decisions. This is, of course, not a complete test but it's including one test scenario. And it's a fall impact, so if you fall to a height and at a 25% angle, so that means that you fall almost straight to the ground. When you do that, you don't introduce so much rotational forces, which is, of course, what Mips does, which you normally do if you trip or you slip where you're falling to the ground with an angle and a typical accident that Mips is trying to address. When they announced this test, of course, ICEA (sic) [ ISEA ], which is sort of the regulatory body of the U.S., even commented and said that great that you have done a test. But it's not a complete test method representing all the different injury criteria in safety. So that's what we really want them to do, to have a more complete test method including all the risks and all the different accident scenarios also including rotation, which we hope that they will add over time, which is also the similar way that it was introduced in bike. They normally started first with a straight test and then, of course, they also include rotational forces. So I'm not worried about that. But of course, I'm not a very patient man. So the sooner, the better. And we hope that it will come soon so we can really explain all the benefits of Mips also in the safety category. But good that there is a test method. Hope that they include rotation as soon as possible. Then, of course, I will just go through all the questions that has not been asked by the analysts. You note the performance of your Best in Show product at NSC Congress Expo the U.S. Believe this was the PIP helmet that has also integrated Quin solution alongside Mips and one of the first smart construction helmet. Are you seeing more demand to integrate these two solutions across your inbound demand for products? Can you talk a little bit more on the strategy here? So first of all, yes, you're right. It was a combination of both Mips and Quin, which we really like to see. And that's also what you see in the Guardio helmet. So you start to see a lot more instances where they combine both Mips and, of course, the Quin technology. Normally, these brands are very dedicated to safety. They also want to have, of course, all the benefits of having a lot of data. That was also the reason why we invested in Quin because you get a lot of accident data, you get a much better understanding what happens in real life accidents. That's also construction companies wants to have and also safety helmet manufacturers. So I think our strategy is, of course, to make sure that the Quin as a company can also benefit of all the great customer relationships that Mips has, but also that, of course, we can have a joint approach to the market. And really good to see that, that is working. Then the next question is the launch of the new event concept at MXGP competition in Belgium is mentioned. Can we receive some more information about this event, and also the aim to review the possibilities of partnership and cooperation in the field of helmet safety? So we did as, I also said in the presentation, launched our new trailer concept, and that trailer concept is a very flexible concept. You can go to a lot of different events at the low cost. And that, of course, is the intention of the investment. Why are we doing that? Because we see, as we increase awareness of Mips, of course, we need to prepare to have a facing towards the consumer. This was a trial that we did because, of course, we really want to make sure that we have a presentation that is fit for the consumer. This was the first event. Next year, we are planning 10 to 12 of these events. So we will be going all around Europe to really make sure that we start to educate the end consumer in a very different way than we have done before. Then we also got some question, do you have any cause for concern over competitors following the launch of the RLS technology? And just to remind everyone, RLS is a technology that took the two 1st positions on Virginia Tech bike helmet testing in the quarter. It's a technology where the outer shell releases during impact. It's not a new technology. That technology has been on the market since 2019. Mips has similar type of technologies where you have an outer shell that releases during impact. We took the decision not to release that technology with having an outer shell that releases because, of course, depending on what type of impact you have, it doesn't fit for all type of accidents, but also that it's not fit for every type of helmet or depending on how you're managing the helmet and so on. That's the decision we took as a company. Not to say anything about RLS because, of course, when you have an outer shell that releases during a test, you see a good redirecting of energies. And that's why they can achieve a good result. This is for sure not the last helmet that will be on the first place on the market. In most cases, it has been a Mips helmet. We will make sure that we get a Mips helmet there. And sometimes it will be a non-Mips element. I think that's the whole reason of having a test, that you compete for the first position. And of course, as I am a very competitive man, we will continue to chase for the first position and, of course, have a good plan of getting there. In terms of do we see them as a competitor, I think it's great that you have technology that is inspiring everyone to make better products, also get more creative thinking and so on. Market is big enough. I have always said that I believe that there will be more competition. So great to see that they are upping their game and so on. Of course, calling them a competitor yet with only two helmets on the market so far, I believe there will be for sure more helmets coming out, it's still a little bit early. Mips has a little bit more than 1,000 helmets on the market and, of course, a fantastic position. Of course, also when we talk about awareness, the consumer knows what Mips is and of course we have a great brand position. I'm sure that over time, RLS can probably build that too. But of course, I think we have a good head start. Then I think we have most of the questions answered already. Thank you, everyone, to listening into the call. And speak to you again in February. Thank you, everyone.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.